Operator: Good morning, ladies and gentlemen, and welcome to the Centene Corporation Third Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. At this time, I would like to turn the conference over to Mr. Ed Kroll, Senior Vice President of Finance and Investor Relations. Please go ahead, sir.
Ed Kroll: Thank you, Denise, and good morning, everyone. Thank you for joining us on our 2018 third quarter earnings results conference call. Michael Neidorff, Chairman and Chief Executive Officer of Centene; and Jeff Schwaneke, Executive Vice President and Chief Financial Officer of Centene, will host this morning's call, which can also be accessed through our website at Centene.com. A replay will be available shortly after the call's completion also at Centene.com or by dialing (877) 344-7529 in the U.S. and Canada, or in other countries by dialing (412) 317-0088. The playback code number for both dial-ins is 10123967. Any remarks that Centene may make about future expectations, plans, and prospects constitute forward-looking statements for purposes of the Safe Harbor Provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in Centene's most recently filed Form 10-Q dated today, October 23, 2018, and our Form 10-K dated February 20, 2018, and other public SEC filings. Centene anticipates that subsequent events and developments will cause its estimates to change. While the company may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so. The call will also refer to certain non-GAAP measures. A reconciliation of these measures with the most directly comparable GAAP measures can be found in our third quarter 2018 press release, which is also available on our website at centene.com under the Investors section. Finally, a reminder that our next Investor Day will be held on Friday, December 14, in New York City. With that, I'd like to turn the call over to our Chairman and CEO, Michael Neidorff. Michael?
Michael Neidorff: Thank you, Ed. Good morning everyone and thank you for joining Centene's third quarter 2018 earnings call. During the course of this call, we will discuss third quarter financial results and provide update on Centene's markets and products. We will also bring you up to date on the integration of Fidelis. Let me begin with Fidelis. The third quarter was our first full quarter with Fidelis operating as our New York State Healthcare. The integration is going very well progressing as expected. We will further enhance the quality of care and current capabilities of Fidelis, as we add case management and clinical programs and incorporate our data analytics tools. We are on track to achieve the synergy and increasing targets. On a run-rate basis, we expect Fidelis to add approximately $11.5 billion in revenue and over $500 million in adjusted EBITDA including net synergies. Now on to the third quarter financial results. We are pleased to report another solid quarter marked by significant top and adjusted bottom-line growth. It is important to clarify that the operating metrics in the quarter were strong as this may have been obscured by three offsetting adjustments booked in the quarter. Two of the adjustments relate to the contracts that have expired. These were $140 million benefit related to the California IHSS program reconciliation and a $110 million charge related to the expiration of our Veterans Affairs contract. The third adjustment related to a $30 million contribution to our charitable foundation. Membership at quarter-end was 14.4 million recipients. This represents an increase of approximately 2.1 million beneficiaries over the third quarter of 2017. This growth is in part a result of the acquisition of Fidelis which closed effective July 1. Third quarter revenues increased 36% year-over-year to $16.2 billion. The HBR decreased 170 basis points year-over-year to 86.3%. This was primarily attributable to the benefit of the IHSS program reconciliation and membership growth in the exchange business. The adjusted SG&A expense ratio increased 110 points paid year-over-year to 10%. This was a result of the growth in the exchange business which operates at a higher SG&A expense ratio and one-time costs associated with the exploration of our VA contract. We reported adjusted third quarter diluted earnings per share of $1.79 compared to $1.35 in the same period last year. This represents growth of 33%. Consistent with our expectations, adjusted net earnings have developed in a quarterly pattern similar to last year. Please note, we reiterate our comments regarding visibility into $69 billion plus in total revenue for 2019. As is our practice, we will provide full detail and an update of 2019 guidance at our December 14th, Investor Day. We are still finalizing our annual planning process. But based on the views to-date the current adjusted earnings per share consensus for 2019 would be within our guidance range. Jeff will provide further financial details including updated 2018 guidance in his prepared remarks. A quick comment on Medical cost trends. We continue to see as well as anticipate overall stable medical cost trends. This is consistent with our expectation in the low-single-digits. I would also like to make a comment on pharmaceutical cost and the evolution of the PBM model. There have been some recent media articles regarding this topic and our Ohio Medicaid Health Plan Buckeye Community Health. To clarify, Buckeye is not charging the state more than any other MCO per strip. Health plans were paid a flat per number rate and cannot charge the state a penny more, even if that member has more prescriptions. As you know, CBS has rescinded to a original comment on this matter and there are no duplex services by CBS and involved. In fact, Buckeye's per member spend on pharmacy services of $83.79 per month, is below the all plan average in Ohio of $87.96 according to the NAIC filings for 2017. We support a shift towards a more transparent PBM model that is sustainable with higher quality and lower costs for consumers. Our recent investment in RxAdvance is the latest evidence of our approach. As a matter of fact, our first stage rollout with RxAdvance before year-end and we have a national roll-out for RxAdvance throughout 2017 -- 2019 excuse me. We look forward to working with the State of Ohio and others to enhance and evolve the PBM model. Moving on to market and product updates. First, we will discuss Medicaid activity, Mississippi. In October of 2018 as part of a successful reprocurement we entered into a new agreement to continue to provide services to Medicaid recipients in more than the Mississippi Medicaid program. Note that the state added a third vendor as part of the reprocurement process. Arizona, in October of 2018, our Arizona subsidiary Health Net Access began a new contract that integrates the support and behavioral health services to the State's Medicaid program in Central and South regions. We now have over 180,000 integrated lives in this program representing an increase of 120,000. North Carolina, in early August of 2018, North Carolina released an RFP for the State's first time transition of Medicaid members RFP to service in the managed care. We have been planning for this RFP for several years. In January of 2017 we established a joint venture with the North Carolina State Medical Society to collaborate on a statewide member focused approach to Medicaid Managed Care. The joint venture with Carolina Complete Health was established as a physician-led health plan to provide Medicaid Managed Care services in the state. Carolina Complete Health submitted its RFP response to tax private. We feel we are well-positioned due to our joint venture which is consistent with our local approach. Furthermore, our participation in North Carolina marketplace will be recognized in the Medicaid RFP scores, the state expects to announce winners in early of February of 2019. Next, Centurion, in August Centurion announced that the Volusia County Florida Council voted to award Centurion a contract. Centurion will provide comprehensive healthcare services to an average of 1,425 attendees of the counties potential facilities located near Daytona, Florida. The contract is expected to commence January 1 of 2019. Additionally, Centurion was awarded a contract to provide comprehensive healthcare services to detainees of the Metropolitan Detention Center in Albuquerque, New Mexico. The average detainee population for this service area is 1,550. This contract is expected to commence in February of 2019. Note these two recent correctional contract wins offer further evidence that we have gained traction in growing this relatively new product line. Now on the Medicare, we remain focused on building a successful Medicare business. At quarter-end we served over 417,000 Medicare and MMP beneficiaries. This represents a year-over-year increase of more than 86,000 recipients in 26%. Consistent with our Medicare growth strategy, we have expanded our geographic footprint and expect to be in 21 states in 2019. The annual enrolment for the 2019 plan year began on October 15th. We continue to take a targeted approach to growing our Medicare Advantage business in markets that we are focused on; we are pleased with the competitive position of all of our products. Further we are encouraged by CMS recently released data suggesting we will return to a Four Star MA Parent rate for the 2020 plan year. We expect this will have a positive impact on multiple new plans including the joint venture recently established with Ascension Healthcare. Please note we expect to have 68% of our MA members excluding Fidelis in four star plans in 2020 with Fidelis it will be 53%. Next health insurance marketplace. At September 30, we served 1,530,000 exchange beneficiaries. This represents a sequential increase of over 26,000 individuals. The addition of Fidelis offsets a sequential loss members from normal attrition. On a year-over-year basis membership grew 49%. Our exchange businesses continued to perform well in the third quarter. We expect 2019 to be another strong year for Ambetter. In addition to expanding our footprint in six existing markets next year, Florida, Georgia, Indiana, Kansas, Missouri, and Texas, we are aiming four new states, Pennsylvania, North Carolina, South Carolina, and Tennessee. In 2019, we will be offering exchange products in 20 states. Our strategy remains specific focusing on low income subsidized population. We do not see a significant change in the competitive dynamics of the market and pricing appears to be appropriate. I would like to speak to the elimination of the individual mandate in 2019. We do not expect this to have a meaningful impact on the overall performance of our marketplace product. Hopefully enrollment starts November 1. Our guidance includes incremental marketing and outreach efforts to offset the Federal Government's continued reduced efforts. Shifting gears to our radar. We continue to expect the composite Medicaid adjustment of an increase of approximately 1% for 2018 excuse me. In conclusion, third quarter results offer further evidence of Centene's financial strength and operating capabilities. Centene's pipeline of further growth opportunities remains robust. We continue to explore new growth in the diversification prospects while maintaining our focus on margins. We're optimistic about our future and the leading role Centene will continue to play in the evolving healthcare industry. As a reminder, our next Investor Day is on December 14th in New York City. We look forward to seeing you there. We thank you for your continued interest in Centene. Jeff will now provide you with further details on our third quarter financial results. Jeff?
Jeff Schwaneke: Thank you, Michael, and good morning. This morning we reported strong third quarter results with total revenues of $16.2 billion an increase of 36% over 2017 and adjusted diluted earnings per share of $1.79 an increase of 33% over last year. Earnings for the quarter were driven by the completion of the Fidelis acquisition and the continued strong performance of the marketplace business. Additionally the third quarter results include the following items which in aggregate had no effect on diluted earnings per share. First, during the third quarter we received cost reconciliation information from the State of California associated with the IHSS program which ended last year. The information allowed us to estimate the effect of the reconciliation and we recorded a pretax benefit of $140 million during the quarter. Second, the Veteran Affairs contract expired this quarter. In connection with the conclusion of the contract, we recorded a pretax charge of $110 million for negotiated settlement in severance costs. Lastly, as an offset to the first two items, we recorded a pretax charge of $30 million associated with the contribution commitment to the company's charitable foundation to continue to support the communities that we serve. Let me provide some more details for the quarter. Total revenues grew by approximately $4.3 billion year-over-year primarily as a result of the acquisition of Fidelis Care, growth in the health insurance marketplace business, expansion in new programs in many of our states including the Illinois contract expansion, and the Pennsylvania LTSS program, other acquisitions including MHM, CMG, and Foundation Care, and the return of the health insurer fee in 2018. This growth was partially offset by lower revenues in California associated with the removal of the IHSS program for managed care which took effect January 2018 and lower membership and revenue in the Medicaid business due to eligibility redeterminations in many of our states as a result of the strengthening economy and lower unemployment. Additionally, the IHSS adjustment this quarter lowered premium revenues by a little over $100 million. Moving on to HBR, our health benefits ratio was 86.3% in the third quarter this year compared to 88% in last year's third quarter and 85.7% in the second quarter of 2018. The decrease year-over-year is primarily driven by the benefit of the recognition of the IHSS program reconciliation which reduced the HBR by approximately 100 basis points. Additionally, the year-over-year membership growth in the health insurance marketplace business and the reinstatement of the health insurer fee in 2018 also decreased the HBR. These decreases were partially offset by the acquisition of Fidelis which operates at a higher HBR. Sequentially, the 60 basis point increase in HBR from the second quarter of 2018 is primarily attributable to normal seasonality in the commercial business and the acquisition of Fidelis Care. These increases were partially offset by the IHSS program reconciliation I previously mentioned. Now on to SG&A. Our adjusted selling, general and administrative expense ratio was 10% in the third quarter of this year compared to 8.9% last year and 9.6% in the second quarter of 2018. The year-over-year increase was primarily due to growth in the health insurance marketplace business which operates at a higher SG&A expense ratio. The SG&A expense ratio was also negatively impacted by approximately 70 basis points related to the costs associated with the conclusion of our contract with the U.S. Department of Veterans Affairs and the contribution commitment to our charitable foundation. These increases were partially offset by the acquisition of Fidelis Care. The sequential increase is primarily due to costs associated with the VA contract expiration and the charitable contribution previously mentioned. These increases were partially offset by the acquisition of Fidelis Care which operates at a lower SG&A expense ratio. Additionally we spent $0.06 per diluted share on business expansion costs during the third quarter compared to $0.12 per diluted share last year. Investment income was $80 million during the third quarter compared to $51 million last year and $65 million last quarter. The increase year-over-year is due to higher investment balances mainly associated with the Fidelis acquisition as well as higher interest rates on short-term investments. Sequentially investment income increased due to the acquisition of Fidelis. We expect interest income to be lower in the fourth quarter due to lower investable balances associated with the payment of the health insurer fee, risk adjustment, and the California rate over payments mentioned in the second quarter. Interest expense was $97 million for the third quarter 2018 compared to $65 million last year and $80 million for the second quarter of 2018. The increase year-over-year was driven by the additional debt to fund the Fidelis acquisition and higher interest rates on our debt associated with our interest rate swaps. The increase sequentially is driven by a full quarter of the senior notes issued to fund the Fidelis acquisition. Our effective tax rate for the third quarter was 33.3% compared to 38.3% in the third quarter of 2017. The lower tax rate was driven by the effective income tax reform in 2018, partially offset by the return of the health insurer fee. Now on to the balance sheet, cash investments and restricted deposits totaled $14.3 billion at quarter end, including approximately $500 million held by unregulated subsidiaries. Our risk-based capital percentage for NAIC filers continues to be in excess of 350% of the authorized control level. Debt at quarter-end was $6.4 billion which includes $100 million of borrowings on a revolving credit facility. Our debt-to-capital ratio was 36.9% excluding our non-recourse debt compared to 41.2% at the third quarter last year and 36.7% at the second quarter of 2018. We continue to target a debt-to-capital ratio in the mid to upper 30% range. Our medical claims liability totaled $7 billion at quarter end and represents 51 days in claims payable compared to 44 days for the second quarter of 2018. The increase in DCP is the result of the addition of the Fidelis business which accounts for four days, timing of claims payments and business expansions which accounts for two days, and the impact of the IHSS program reconciliation for one day. Several of the items influencing the DCP increase this quarter are timing related and are expected to reverse. We expect the DCP to be in the mid-40 range on a run rate basis with the inclusion of Fidelis. Cash flow provided by operations was $548 million in the third quarter. Cash flow was positively impacted by approximately $350 million due to the timing of Fidelis Care claims payments and $175 million due to increases in experience rebate payables primarily related to the performance of the health insurance marketplace business and the previously mentioned IHSS program reconciliation. Before we discuss the changes to our 2018 annual guidance, let me spend a few minutes to update you on the Fidelis acquisition and the effect on the third quarter 2018 results. On July 1, 2018, we acquired substantially all the assets of Fidelis Care for approximately $3.5 billion in cash consideration net of the preliminary working capital adjustment. The integration is in process and we expect to achieve the previously communicated synergy targets. In connection with the completion of the acquisition, during the third quarter, we incurred approximately $401 million or $1.46 per diluted share of transaction cost including investment banking fees, legal costs, and $324 million representing the present value of the contribution to the State of New York as part of the undertakings associated with regulatory approval. Now on to our annual guidance. We have increased our 2018 annual adjusted diluted earnings per share guidance by $0.02 at the midpoint to reflect the performance in the third quarter and narrowed the ranges of several other guidance metrics. In summary, our updated full-year 2018 guidance is as follows: total revenues of $59.8 billion to $60.3 billion; GAAP diluted earnings per share of $4.34 to $4.50; adjusted diluted earnings per share of $6.90 to $7.10; and HBR of 85.9% to 86.3%; SG&A ratio of 10.5% to 10.9%; adjusted SG&A ratio of 9.7% to 10.1%; and effective tax rate of 34% to 36%; and diluted shares outstanding of 198.8 to 199.8 million shares. Additionally we are increasing our full-year 2018 business expansion costs from $0.28 to $0.32 per diluted share to $0.30 to $0.34 per diluted share. In summary, we were pleased with the strong performance in the third quarter and the completion of the Fidelis acquisition that we expect to continue to drive long-term growth and margin expansion. That concludes my remarks and operator; you may now open the line for questions.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. And your first question will be from Kevin Fischbeck of Bank of America Merrill Lynch. Please go ahead.
Kevin Fischbeck: Great. Thanks. I wanted to ask about the exchanges and how you thought about 2019, I guess you mentioned that the competitive landscape hasn't really changed that much but it does seem like that there's a number of counties that last year only had one option and this year at least have two and you guys often stepped in there to be that one option, I wanted I think initially the market was concerned that being the only one there was going to be a bad thing, you guys have really outperformed wondering now whether there's potential risk on the other side if a new competitor comes and that potentially change the risk pool for you in that market?
Michael Neidorff: No, no, no, as far as, Kevin, I don't see a change in the risk pool we have had last two, three years 80% of the enrolment of our membership. So we expect that to continue, it's a great deal of satisfaction with it and we continue to focus on the subsidized market and some of the others are coming in and higher levels than that, so I don't really see any material changes within the marketplace.
Kevin Fischbeck: Okay. And then I guess a question on the MA side, it looks like you don't expect now to have the parent rating back for 2020, how did you think about the 2019 pricing for Stars and picking out some of the new contracts, you have this issue where you fell off on the Star ratings for 2019, but you expected to show improvement going forward, did you kind of think about it in price to the actual Star ratings that you had in 2019 or did you kind of take a longer-term view that it's better to grow the business and we may see some margin impact in 2019 but then getting back?
Michael Neidorff: I may ask Kevin to join in, but last year I said we're committed to growing the business, so I'd let Kevin split that up.
Kevin Counihan: Hi, Kevin. I just would win to state what Michael had said, our position has been to take the longer-term view, I think when you look at both our expansion strategies, the states we focused on, the potential Ascension alliance, I think it all reflects that.
Operator: The next question will be from Josh Raskin of Nephron Research. Please go ahead.
Josh Raskin: Good morning, Michael. First question just on the exchangers and sort of just how you guys think about the bidding process and resetting your plans. We've talked about a margin I guess above 5% this year, as you think about 2019 is there a reset to your bid margin or do you think sort of where you are sustainable and again you've been sort of a sole operator in a lot of counties, so my guess is there's no need to make a majorization there but just how are you thinking about long-term margins and is there any reset we should expect for 2019?
Michael Neidorff: Yes, I'll let Jeff and some others comment, but as I said in my previous answer, we see our position in the marketplace is not changing but relative to Jeff has alluded.
Jeff Schwaneke: Yes, yes. Not to get to too much details about 2019 but we are certainly not planning for margin reset in 2019 that's certainly not our view.
Josh Raskin: Okay, that's perfect and then just on North Carolina as they released the set of bidders, I was actually surprised with only eight plans that were listed and so I don't know how to think about that, is that hey there is a little bit of fear around the ability to earn a reasonable return on that contract and it's a big contract, so there's risk or is it no but just such a large contract that there's only a few plans that couldn't realistically win this. I guess I'm just curious on your perspective from the competitive landscape in North Carolina?
Kevin Counihan: Hi, it’s Kevin. I think one potential factor, contributing factor to what you've just said is that the -- as you probably know is that it was a complicated bid and one looks at the requirements on an MCO with respect to care management requirements and network and such, the mix between top provider organizations would be implemented as well as outside MCOs. It was -- it is a complicated bid, so again we're very excited about our bid. We believe we have a strong one but that may be a contributing factor.
Michael Neidorff: As I would just add to it, I think when you look at the scale, the size, the expectations, the technology required to do it, a lot of people who initially get excited about sit back and say, I think maybe I mean I have to sit this one out and so we'll come through acquisition, our partnership and think again we expect to do well with that.
Josh Raskin: Okay. And just to clarify, there was nothing in the bid or the RFP that came out that changed your view on the ability to earn a reasonable return, nothing around rates or continuity of care or anything like that that's going to make it onerous in the early period?
Michael Neidorff: I think no, I don’t think so. I think you always look to have bifurcated how many member how many plans they have in a particular region. But I think when you look at it in total, I think it's refined, you always have your first year where you are educating people and we have plan for that accordingly and we've always said new plans, you want to go through three, four quarters. So that has same material supplies we are planning accordingly.
Operator: The next question will be from Steven Valiquette of Barclays. Please go ahead.
Steven Valiquette: Just quickly for the California IHSS payment, I think you guys mentioned this at your Analyst meeting back in June, so it seems like it was included in guidance but just to clarify it was $140 million is it still subject to any material adjustments depending on minimum MLR calculations in California for those prior periods and also are these California risk orders are they all finalized now, just want to get more clarity around all that? Thanks.
Jeff Schwaneke: Yes, a couple of things. This was not in guidance, so it's never been in guidance but the real issue here is they are reconciling the program from the beginning its inception all the way back to 2014 and this is really the first quarter that we had cost and I would say member eligibility information from the state in order to perform the reconciliation. So the state has the data not the MCO, so obviously this is the first time we had a look at it, it is not done. I think in the press release you'll find that it says that we expect the 2014 through 2016 information to potentially get reconciled late this year or early next year and then there's still the 2017 year which would come later maybe in 2019. So what I will tell you is that it could get adjusted and if it does, we would disclose it accordingly.
Steven Valiquette: As far as the breakdown of $140 million how much of it relates to 2014 to 2016 versus 2017, is there any rough breakdown of it that way just to help us get a sense of the magnitude for how much it could be adjusted?
Jeff Schwaneke: I think there were rate changes in the program in the later years. So I think a significant piece of that relates to 2014, 2015 time periods with a little bit less in 2017. So I would say it probably starts larger at the beginning and gets smaller as the years go on.
Operator: The next question will be from Ralph Giacobbe of Citi. Please go ahead.
Ralph Giacobbe: Thanks, good morning. Obviously a lot more in parts in MLR and SG&A, any reason why you weren’t excluding some of those sort of one-time items from the adjusted figures?
Jeff Schwaneke: Well, we have never historically done a, if you will an adjusted HBR, an adjusted SG&A ratio, so but I think our preference in general is to disclose and not have an adjustment such in this very long, in the filing, I think that makes it confusing and so I think our view was this was a much more easier way to just disclose the information.
Michael Neidorff: I just want to add to that. I think what really important as we change lenses to a $60 billion company versus where a lot of people remember as historically you're going to have a lot of adjustments that come through in a given quarter. That's just the nature of the business and we were -- what we did this time, we wanted to ensure that we have the offsets and ensure that there was no income taken into it, we took the $30 million and put in the foundation because weren't really even allowed. And so -- as we -- and with Jeff obviously we decided to keep the adjustment simple, so people understand it and we believe that most people when we say here is a one-time change one way or the other tend to discount. I'm used to an environment where they say no that's to be expected in a business's size, in any given quarter, any given time there's going to be adjustments that is good and bad but you have to treat them just as one-time events and not part of the ongoing, where I'm pleased with in this quarter is the ongoing business is performing well and consistent with our expectations.
Ralph Giacobbe: Okay. All right, fair enough. And then just a follow-up, the administrations out yesterday sort of more flexibility states around waivers and the like, any initial thoughts around that and maybe implications to that, whether it's even a consideration for 2019 as opposed to maybe 2020, thanks.
Michael Neidorff: Kevin?
Kevin Counihan: Yes, it's a good question. I just finished reading the guidance last night. Clearly, I think we support the ability for states to have additional flexibility. I think it plays well into both our business model and also our strategy. With respect to some of the nuances and the guidance, I think we're all still studying that.
Operator: The next question will be from Steve Tanal of Goldman Sachs. Please go ahead.
Steve Tanal: I wanted to just follow-up on the couple of the ratios, specifically first the HBR at 87.3% I mean just looking at typical and that's kind of ex the IHSS item, the typical seasonality and thinking through kind of the impact of Fidelis really trying to understand I guess the question would be what was the impact of Fidelis if you could spike that out because I think this HBR look pretty decent access.
Michael Neidorff: I want to comment but as we go forward, we've always had the policy, we look at consolidated business versus bifurcating it because it gets too confused in the next quarter what about this or that, so. We want to look at in totality, again some kind of directional.
Jeff Schwaneke: Yes, yes, I think you are exactly right, obviously you have two things. One has been here the whole year right, the HIF, the health insurer fee pulls down the HBR, if you're comparing to last year right because last year there was no health insurer fee and then you have the IHSS adjustment, so those two I would kind of put in a separate category and then you're correct you do have an increase for the Fidelis business because it does run a higher HBR and that was predominately offset by the marketplace because a lot of the growth, organic growth this year has been in the marketplace business. So the increase in volume of that business as a percentage of the total company pulls down the HBR.
Steve Tanal: Okay. And that qualify Fidelis and I guess just on the SG&A side, came in a bit higher than we were thinking and I guess one thing that I heard in the call so far was just the increased business expansion costs and that's I guess stepped up about $0.02 or so, was that in the third quarter or is that to come in the fourth quarter and just a step back on that like should we think about that $0.32 number as kind of a run rate number at this point?
Jeff Schwaneke: Some of that is in the third quarter related to our as Michael mentioned in his script related to the open enrollment period and so what you have to remember is in order what we do the business expansion costs are incremental so incremental to the prior year when you look at for example the marketplace business. so I would say it's a pretty good run rate but it can be lumpy from time to time depending on Medicaid RFPs because a lot of times if for example if we had a one-one start day we would have a lot of start-up costs in fourth quarter for that. So I would say it's a pretty good run rate, I think that's where we've been in that range for the last several years but obviously depending on the timing of awards and how many awards are in a specific year, it could change.
Operator: The next question will be from Sarah James of Piper Jaffray. Please go ahead.
Sarah James: Thank you. I was hoping that you could walk us through capital deployment priorities as we think about the business model going forward, are there certain areas that what makes sense for us to continue to add assets or expand their exposure?
Jeff Schwaneke: Yes, I mean I think obviously you've seen a lot of the capital that we continue to deploy, and have deployed over a long period of time is really related to growth and adding capabilities and I think you've seen some of that this year with the addition of CMG, our investment RxAdvance Interpreta. So we've continued to add capabilities to the business as well as grow the business. So every new market requires statutory capital, that's capital deployment increasing the marketplace growth in that business. So I think it's a consistent strategy going forward, we are looking for ways to add capabilities that in the long-term will continue to grow the business successfully.
Sarah James: Okay. And can you talk about the rate outlook in a little bit more detail, you mentioned reiterating the 1% for 2018 but we've had a couple of updates recently that would put -- that were higher than that. So I’m just wondering as you’re looking for the rest of 2018 focusing on 4Q or kind of rolling out of the year, are you still thinking that 1% is accurate for 4Q or could the recent update provide some upside to that?
Jeff Schwaneke: Yes, just I think we’ve been in -- I may get this a little bit off but I think we've been close to 1% for the last three years and just to give you the idea about what we're giving you as far as what the 1% it's the annualized effect of rate adjustments in this year, so it's not just as they occur, it's the annualized effect of those. And the other thing is it is a net -- it's a net rate adjustment, meaning if the state changes the fee schedule and provides a premium adjustment for that, we’ve excluded those, we've netted those together because typically those are a one to one. So we’re still comfortable with the 1%, we've been in the 1% range for the last several years and I think I wouldn't see anything different going forward at this point in time.
Michael Neidorff: And I think what is important Sarah is to what Jeff said, the easiest thing that 5% increases certainly but if they've raised other fees comparable to that that's a mislead. So I think we were in interest of clarity we put the net number.
Operator: The next question will be from Matt Borsch of BMO Capital Markets. Please go ahead.
Matt Borsch: Can I just ask about the tax rate, the rate looked quite low in this quarter and I think you're maintaining your tax rate guidance for the full-year, is that implying something pretty high for the fourth quarter, I'm just wondering if you could talk to what's going on there and apologies if I missed something you've already said.
Jeff Schwaneke: Yes, no Matt that's a good question. I think what's driving the tax rate obviously for the quarter is the significance of the adjustments related to the closing of the -- it's really the transaction costs associated with the Fidelis transaction. Those are deductible and a statutory tax rate that's roughly around 24%. So we've known about these costs for some time and our guidance has always included those. So again that's why you didn't see a revision to the tax rate range is for the full-year on a GAAP basis, we're going to get back to in between our guidance ranges that we've provided today.
Matt Borsch: Okay, okay, okay, got it.
Michael Neidorff: That's also Matt a good example I said earlier in terms of in any given quarter you can have a particular effect that impact.
Jeff Schwaneke: Yes, just to give you a little more detail, Matt, we've always had I would say a lower back half tax rate because of the addition of Fidelis because Fidelis is not subject to the health insurer fee this year, so their tax rate is much, much lower.
Matt Borsch: Right, got it.
Jeff Schwaneke: Yes, but for the full-year, we're comfortable with our guidance range.
Matt Borsch: Got it. Got it and can I just ask you a question on if you look at the organic growth going into 2019 and you're above $69 billion. Am I correct that implies a high-single-digit range for organic growth if you sort of broad side of the barn adjust out for Fidelis.
Michael Neidorff: I think we're once again for consistency; we have always when there is a partial year and something we have always had to adjust for the next year. So as you go year-over-year that's consistent, we don’t see consistency in how we do this. But anyway you look at it, I mean it's a lot of significant growth for that and that reflects to what the visibility we had last June and we will update it in more detail and give you more detail in December.
Operator: The next question will be from Peter Costa of Wells Fargo Securities. Please go ahead. Mr. Costa, your line is open. You may be muted on your side.
Peter Costa: Hi, good morning, sorry about that.
Michael Neidorff: Good morning.
Peter Costa: Why did the guidance change or the metrics changing due to the performance at Fidelis being different than your expected and what things have you seen at Fidelis that's been different from your expectations either positive or negative?
Michael Neidorff: I think it's been very consistent with our expectations in the reaffirmation of the revenue and the EBITDA I think reflects that, it's a well run company and we're really pleased with that. I mean we were really able to back out and tell about innovation day one they are on our general ledger. So I mean this is a company they act together and it's everything we could have expected.
Peter Costa: And just as a follow-up, why was Fidelis's Care view of the individual mandate going away which caused them to initially seek much higher rates in the exchange business, so different from your view of the individual mandate going away, is New York somehow different and are you seeing what they initially saw now that you're seeing what's going on in New York?
Jeff Schwaneke: Okay. So you're right, New York is different, New York has a basic health plan, so I think you're probably aware of it's one of two states that and Minnesota that have that. So just by definition they're going to have different underwriting issues and risk management issues and selection issues than States without the VHP.
Peter Costa: So that's what caused them to seek much higher rates in New York than you’re seeking rate increases for next year?
Jeff Schwaneke: Yes, if you are a state with the basic health plan like those two, there are definitely different underwriting issues, that one has versus state without that.
Peter Costa: Okay, thank you.
Michael Neidorff: And we of course could not get involved in any discussions on their rate adjustments until after closing that would have been inappropriate.
Operator: The next question will be from Michael Newshel of Evercore ISI. Please go ahead.
Michael Newshel: Really looking at the RFP pipeline, is there any update on expected timing of the starship and Star Plus contracts in Texas after the cancellation and repost of the RFP a few weeks ago?
Michael Neidorff: I think it a moving -- it's a movable piece, Chris what's the best.
Chris Koster: I will give you my best shot Michael. Right now, it looks like the -- as you know both of the RFPs have been reissued and are due in mid-November, we expect that the awards are going to come Q2, Q3 of 2019 and right now the projected start dates for both of these are Star Plus will be 6/1 of 2020 and the Chip and Star RFP will be 9/1 of 2020.
Michael Newshel: Okay, great. And how about -- and also what's the latest on Pennsylvania whether the Health Choices contract will go through another bidding process and at the course vacated that?
Michael Neidorff: We haven't -- I haven’t heard anything. I mean it's been very silent and it was a deal focused on long-term territory and a great job there in the East any way that we made up and that's going well but I've decided that's something I’m just going to wait during the call and say it's time to try a third time. We have done well twice so we see what happens this time.
Michael Newshel: And existing business continue in the meantime?
Michael Neidorff: Well actually I'm unsure of it, yes. There is not a mean data they need the help they wanted. And there's a -- you have the Election coming up, the new Governor will be in place potentially. So let's wait and see what happens there. And I'm not forecasting the Election term for various reasons, so but there is a lot of variable. So we had so much going on now that if they want to wait a little bit that is okay, we have a full fight.
Operator: The next question will be from Lance Wilkes of Sanford Bernstein. Please go ahead.
Lance Wilkes: Just a quick question on the days in claims payable and the timing issue more predominantly on the non-Fidelis, was that related to any particular products or if you could just give a little more color on that that would be helpful?
Jeff Schwaneke: Yes, no nothing specific. I mean when you look at the days in claims payable, some of this depends on which day of the month the actual quarter ends on and when our checks around are scheduled. Obviously we’re fairly large so we're making a lot of payments every single day. So it just depends on that, that's what most of the timing items are related to. And I think I was pretty clear in my script that long-term we think in the mid-40s as a good proxy for where we're going to be with the addition of Fidelis.
Lance Wilkes: Okay. And then on RxAdvance, so you made additional investment in convertible preferred and you talked a little bit about the rollout in 2018, if you could talk a little more about both how you are thinking about rolling out that capability, how it replaces existing capabilities and what would be the impact to states kind of pricing model as a result of this, is it you frequently have like separate capitation rates related to pharmacy and this is going to transfer to more transparent pricing or maybe just some more color around that.
Michael Neidorff: Yes, what I'm going to do is Jesse has been leading that and so I'm going to ask him to be able to speak out.
Jesse Hunter: Yes, I think good combination questions there related to RxAdvance, so I think as Michael referenced in his comments I think the important starting point here is they were really investing in the future kind of more transparent version of the PBM model, so that includes making investments in the technology platform which is really where RxAdvance is today. So we're rolling that out on a market-by-market basis as we reference that rollout, has been in process since the initial investments and will initiate in the end of 2018 and continue to occur market-by-market through 2019. In conjunction with those new -- the new implementation of the platform yes we will be moving to a different operating model which is built around transparency and yes more focused on cost sharing for total cost of care so integration of pharmacy cost with the more comprehensive total medical cost and we do believe that over time delivering those services more efficiently will provide both higher quality and lower costs for all of our customers including states.
Michael Neidorff: Yes, this going to be a game changer.
Operator: The next question will be from Dave Windley of Jefferies. Please go ahead.
Dave Windley: Hi, thanks for taking my question and look to us that you added something like 110 counties in Medicare Advantage for 2019 you got the Centene's J.V. the stars that were discussed earlier in the call Michael I'm just interested in your kind of longer-term view aspiration for Medicare Advantage in the business mix for Centene?
Michael Neidorff: Yes, as I said that when we talk about our growth and I view the Medicare Advantage product is continue to fuel our growth into the next decade and we've been using last year a little bit this year as the learning process and gradually expanding and I keep telling you it's not how fast, it's how well get the fundamentals right and that's what we're doing but I see it as a very important part of what we're doing and you'll continue to see it and we've built systems capability for it. And I think that's also a very important whether it be the RxAdvance the Interpreta things that help improve outcomes, so we see it as a very important part going forward.
Dave Windley: Thank you. And then at the top of the call you talked about Fidelis and the adding of case management and clinical programs and things like that I think you've been fairly transparent about targeting there -- there HBR as your synergy target how quickly can those things happen and do you think the benefits of those things are fully captured in the synergy targets that you glade out or can those be exceeded over time?
Michael Neidorff: Well I think one we will be implementing them as we speak. And it's something that we've got ready for during the extended period before we could close so those are the kinds of things we could talk about and did. So I think it will and we're careful from the standpoint of GAAP reporting and how we do things that from a conservative standpoint has been consistent with appropriate GAAP accounting. I would always hope that we can under promise and over deliver a little bit and so we want to keep the expectations real and the timing real. But we're very hopeful on the benefits of all these as they are, and I know they were looking forward to our systems and our capabilities. So and as things we're learning from them, so it's so easy to put two things something together right there.
Operator: The next question will be from Zack Sopcak of Morgan Stanley. Please go ahead.
Zack Sopcak: Hey good morning. Thank you for the question. I wanted to ask first about just your turn around in MA Stars and from your perspective what really drove the improvement and were there any incremental investments involved to get you up for 2020?
Michael Neidorff: Well, I'll ask Kevin to jump in. But that's something that's a priority and we've been focusing on it and we're not satisfied with where we are, we're going to keep pushing it, the increase it and make it better and that's just when it, we are happy we got involved with it. We made the priority to make the investments to get there and then we caught a few breaks along the way as well, so Kevin you want to take?
Kevin Counihan: I think Michael said it. It is clearly a priority. Michael's made a pretty clear to us what his expectations are. We've got a strong team that's focused in on Stars as well as RA and other quality activities. So it’s about execution.
Zack Sopcak: Thank you. And then just to clarify on your charitable contribution, so if I look back a year 2017 and 2016 numbers you excluded them from adjusted net earnings and but now you are including in adjusted net earnings. Going forward should I just consider your charitable contributions to be included into it in adjusted net earnings?
Jeff Schwaneke: Yes, I think this goes back to what Michael had mentioned earlier was this is really the offset for the other two items. So to the extent that you see one like this, I think it would be disclosed similarly to what we did this quarter.
Operator: The next question will be from Justin Lake of Wolfe Research. Please go ahead.
Justin Lake: Thanks, good morning. Just wanted to come back on the tax rate. First of all, is there you're saying that the one-time cost from Fidelis were deductible in the adjusted number?
Jeff Schwaneke: No, they are deductible on your tax return, right. They are deductible on your tax return at their effectively their statutory rate which is around 23 and change, I guess is what I would say. So I mean those are actual costs that we burden that when we file our tax return we will take a deduction form.
Justin Lake: Right. So I guess what I'm just a little bit confused by if I'm understand this correctly is you one-time the cost of the Fidelis integration right, those are not included in the adjusted, right?
Jeff Schwaneke: In the adjusted earnings right, that's exactly right, so we had the cost that we are effectively backing those out at the applicable tax rate at which they will be on our federal tax return.
Justin Lake: Right. Did you also one-time the tax benefit or the tax yield or you think you ramped that out?
Jeff Schwaneke: Yes, if you look at the press release, the tax is actually they are combined, the tax benefit of those deductions is disclosed in the press release but it's aggregated into one line, right.
Justin Lake: Right. That's what I thought so.
Jeff Schwaneke: Yes, the 65 it's the amortization and the transaction cost, the tax benefit of both of those are aggregated into one-line in the press release, yes I think it was $110 million I think for the quarter, right.
Justin Lake: Okay, so the adjusted tax rate when we look at adjusted pretax income and then adjusted aftertax income and look at the tax rate, that tax rate doesn't see the benefit, it just look somewhat low, low impacted and it kind of implies the fourth quarter is going to be pretty meaningful given the guidance so a little bit confused?
Jeff Schwaneke: Yes, it’s the magnitude to some extent because GAAP net earnings were so low but I mean we are guiding to a GAAP number, right. So if you look at the GAAP number for the quarter is roughly 33%. I know it has a small amount of earnings because of the significance of the adjustment, right of the transaction cost but we’re guiding to a GAAP range which is that's why we didn't -- we didn't actually change the range because we're going to get to that GAAP range. So recalculate your math on the GAAP financial statements and that will give you what you're looking for.
Justin Lake: Got it. So maybe if I could just follow-up the adjusted tax rate we should be thinking about for the year maybe that's the right way to think about it?
Jeff Schwaneke: Well, we don't really give an adjusted tax rate, right. I mean what I could tell you is those items specifically on the tax return are deductible at a statutory rate which by the way the difference between the statutory rate and the rate that you see on our financials has a large piece of it associated with the health insurer fee. The non-deductibility of the health insurer, yes. So that is playing into the calculation which is why the math is challenging to understand the way you're trying to do it.
Justin Lake: All right, I will take a harder look at it; I know there is a lot of moving parts in this quarter. And then just lastly on the services business when I look back at the third quarter last year obviously it looks like a pretty kind of strong margin in the quarter on the services business in 3Q 2017, obviously it looks like it's normalizing more than anything maybe in third quarter 2018, is there a way to think about this services margin as we go forward, is this a good kind of run rate just kind of low-80s kind of cost of services?
Jeff Schwaneke: Yes, I think I'll just give you a couple of pieces here, Justin. I think the services line continues to change specifically with some of the deals that we've done last year but the services margin that you see in the financials, it would have been a little bit lower because of the VA, the VA adjustments that we took this quarter. So if you exclude those, it would have been lower and more consistent with last year and that's because the third quarter has a lower cost of services ratio because that's typically when we get the information on the U.S. and the ACO programs and we have the reconciliation and that reconciliation is favorable to us and it was favorable to us by a similar amount last year third quarter. So it’s kind of being masked by a couple of things, the wind down of the VA program that was not work was at full speed until September 30 that wound down throughout the quarter and then these VA adjustments that we've mentioned also inflate the cost of service ratio a little bit. So I would say the mix in that line continues to change but I would say mid to low 80s is probably a good estimate and that could fluctuate by quarter depending on when we have reconciliations in a lot of these programs.
Operator: The next question will be from Ana Gupte of Leerink Partners. Please go ahead.
Ana Gupte: Okay, thanks for taking the question. Couple of questions, the first one was as you think about your margins going forward, do you see any reason you couldn't expand margins, you are mix shifting to exchanges and MA looks like trend is weak, you have a better STAR rating 2020 investments in comp could go up with interest rates, so what would your normalized margin expectations be?
Michael Neidorff: Well as I think we will talk more about margins in 2019 in December but where we have clearly stated we are demonstrating our interest in expanding margins, we think that's appropriate the scale, the size, the activities we have going the technology we are trying to improve medical costs over time all will tend and give us the ability to expand margins, and we can be more specific on our December call.
Ana Gupte: Okay, great. Thanks, thanks for that, that's what I would have thought. The second was on exchanges for 2019, what are you expecting given on the subsidized book of business overall I mean just for the exchanges what types of assumptions are you all making and is your growth likely to come from secular growth or are you thinking of it more from just your geographic expansion and share shifting within your existing markets or a bit of both?
Michael Neidorff: Well I'm going to ask to kind of stick with us in terms of not getting too granular on 2019 until December that's a pattern that we have well established over lot of years. I will say that from the standpoint our focus continues to be on the supplements and that portion that has the premium supplement and we see that continuing going into 2019. So it's one of the business is usual for us and we’re comfortable with the attrition we had this year relative to previous years, the reenrollment we had everything says it's very much business as usual and I thought -- I think you’ve heard Jeff comment earlier that from a margin standpoint the business we see maintaining that. So it’s a business we understand and we have developed systems to continue to build it and maintain it.
Ana Gupte: Okay. Great, thanks. One final one, any update at all on the Texas RFP? I believe they announced they were --
Michael Neidorff: I think Chris you just give a little detail, you want to repeat that?
Chris Koster: Sure, I would be happy Michael. Both of the RFPs that were cancelled have been reassured and are due in mid November, the awards will be announced, we believe in Q2 and Q3 of 2019 projected start dates for STAR Plus will be 6/1 of 2020 and CHIP and STAR RFP our start date will be 9/1 of 2020.
Operator: The next question will be from Gary Taylor of J.P. Morgan. Please go ahead.
Gary Taylor: Hi, good morning. Just a couple of questions and just sorry to go back to the tax rate again, I think there is a perception that the quarter did benefit materially from a lower tax rate and I followed your discussion but the non-deductible -- excuse me non-deductibility of the HIF actually serves to increase the effective tax rate, right. So 8 over 24 on a GAAP basis is 33 but including non-deductibility of the HIF 8 over the 202 number like a 4% number, so it does look like there was a tax benefit in the quarter different from what you've seen in the first half, in Fidelis which is a few hundred basis points I think, so you follow where I'm going and where am I wrong on looking at that?
Jeff Schwaneke: Yes, I mean I can understand your -- I can understand where you're coming from, I guess what I would say is this is nothing different than what we've already had in our guidance from when we had these costs associated with Fidelis transaction. So yes, Fidelis lower tax rate not subject to the health insurer fee you're pulling one item and/or two items putting them down below the line and then you're pulling them out at a statutory rate versus your annual effective rate which includes the non-deductibility of the health insurer fee. So I think it's more complicated than that but we certainly don't view that there was any tax benefit in the quarter. This has been our guidance for -- we're guiding to an adjusted number on a full-year basis and we don't see any tax benefit to core the way we’ve seen it since these costs associated with the regulatory undertakings were known.
Gary Taylor: Sure. Maybe another way to sort of look at the quarter, if we look at pretax earnings were up $252 million in the first quarter, $89 million in the second quarter, adjusted pretax earnings up about $110 million this quarter, but Fidelis if it ran a 4% margin would have been over $100 million of that, so it does look like the pretax earnings growth from the rest of Centene's low this quarter? Is that something that you would acknowledge? Does that make sense?
Jeff Schwaneke: So you're adding back the -- which pieces are you adding back, the merger costs and the amortization or just the merger costs or --?
Gary Taylor: Yes, both it looks like the adjusted pretax was $490 million which is up like $110 million versus the prior year. So I think it was --
Jeff Schwaneke: The piece you may be missing is the exchange business and how the profitability of the exchange business works, right. Remember it, it makes yes -- it makes a lot and the other thing is that remember the enrollment days were accelerated this year, so the exchange business profile is actually a lot different and it's more meaningful piece of the business.
Gary Taylor: That makes some sense. Last question the specialty operating income was $51 million loss is a $102 million year-over-year, you called out the VA termination costs as the major factor there but it still would have been about $40 million of OI versus the $102 million and you said other Federal contracts and then some carve in of behavioral, is there any more color you could tell us on just the specialty operating income and where there might be some margin pressure?
Jeff Schwaneke: Yes, actually I think some of this is related to the integration of the physical and behavioral health, so some of those behavioral health revenues and margin is now embedded within our health plans because we moved to an integrated approach.
Operator: The next question will be from A. J. Rice of Credit Suisse. Please go ahead.
A. J. Rice: Hi everybody. First of all maybe a numbers question and one other broader question, in the MLR when you ex out for the unusual items, your ops improved 70 basis points year-to-year and I think in the prepared remarks you said a lot of that was due to the HICs and the health insurance exchanges. I just wondered I mean say I may be wrong but four major things, your core Medicaid, your Fidelis, your HICs and then the health impact, anyway to sort of parse out where you're seeing improvement year-to-year in MVR and where is, if there is any place where there's pressure?
Jeff Schwaneke: Yes, I mean I think those are the items that we mentioned. I mean as we look at the business, I think the Medicaid business was pretty consistent, that's why we didn't highlight it is a driver of the HBR metrics, that's why we highlighted obviously Fidelis coming in would be an increase to the HBR and the marketplace besides the business is a decrease on a year-over-year basis, so we highlighted kind of the -- what I would call the drivers for the quarter. Year-over-year by the way, I was just making sure.
A. J. Rice: Yes your HICs HBR was significantly better this year than last year?
Jeff Schwaneke: No, I think it was in line with our expectations. I think its volume, the magnitude of the business obviously a lot -- it's a lot larger.
A. J. Rice: Right, okay. So it's mainly just the growth as opposed to the actual absolute ratio?
Jeff Schwaneke: Yes, it's the growth on the business.
A. J. Rice: Okay. And then my bigger picture question is obviously with Fidelis now done your balance sheet still sort of within the range that you guys historically have targeted I would say and acquisitions have been a big part of the growth story for the last couple of years even bigger acquisitions. What's the appetite of the company to look in additional deals, do you need sometime or you selling in with Fidelis or you've done a couple of big ones in pretty rapid discussion are you open to other things?
Michael Neidorff: Well, I think Fidelis integration is well I mean or put in this context, we know that the closing got delayed which gives us a lot of time to prepare for a very effective integration, so it is where needs to be and it's appropriate, so it's an opportunity came along, there is no reason for this not to do, we have a strong balance sheet, we have lot of capability and we’re in a position to do it but perhaps it is the right time and the right place and first financially effective and strategically.
A. J. Rice: Would it be reasonable to think that Medicare given your focus on growing that is a primary place to look or there other areas you would highlight?
Michael Neidorff: I think, I mean, I would look -- we look it at very broadly, I mean you've seen us with a focus on technology and some really effective technology that's going to be provided a lot of significant dividends and already are, our technology committee meeting yesterday demonstrated that we're moving more and more to a leadership position there, so there's a lot of very good opportunities there that stay tuned.
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to hand the conference back over to Mr. Neidorff for his closing remarks. End of Q&A
Michael Neidorff: I want to thank you for all your questions, I hope it clarified some of the outstanding issues because we I believe we had a strong quarter and the metrics were right and what people refer to as noise in puts and takes that normal course of business in a company of our size and what's important to us is that the fundamentals are strong, it's heading in a right way and we're looking forward to the fourth quarter and we're looking forward to the December we can tell you how strong 2019 will be. So we thank you very much for your time, attention and great questions. Have a good day.
Operator: Thank you, sir. Ladies and gentlemen, the conference has concluded. Thank you for attending today's presentation. At this time, you may disconnect.